Operator: Hello, ladies and gentlemen. Thank you for standing by for NIO Incorporated’s Third Quarter 2019 Earnings Conference Call. At this time, all participants are in listen-only mode. Today’s conference call is being recorded. I will now turn the call over to your host, Ms. Jade Wei, Associate Vice President of Investor Relations of the company. Please go ahead, Jade.
Jade Wei: Thank you, Edison. Good evening and good morning, everyone. Welcome to NIO’s third quarter 2019 earnings conference call. The company’s financial and operating results were published in the press release earlier today and are posted on the company’s IR website. On today’s call, we have Mr. William Li, founder, chairman of the board, and chief executive officer; Mr. Steven Feng, Chief Financial Officer; and Mr. Stanley Qu, VP of Finance. Before we continue, please kindly be reminded that today’s discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company’s actual results may be materially different from the views expressed today. Further information regarding risks and uncertainties is included in certain filings of the company with the U.S. Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements except as required under applicable law. Please also note that NIO’s earnings press release and this conference call include discussions of unaudited GAAP financial information, as well as unaudited non-GAAP financial measures. Please refer to NIO’s press release, which contains a reconciliation of the unaudited non-GAAP measures to comparable GAAP measures. With that, I will now turn the call over to our CEO, William. William, please go ahead.
William Li: [Foreign Language] [Interpreted] Hello, everyone, and thank you for joining our call today. In the third quarter 2019, we delivered a total of 4,799 ES8 and ES6 vehicles, increasing 35% from the second quarter and exceeding the top-end of our guidance range by 9%. We delivered 5,054 vehicles in October and November. We estimate that the total delivery of Q4 will reach over 8,000. The auto industry is still experiencing substantial softness and the EV sector, particularly dropped over 35% year-on-year in sales in the second-half of 2019 after the EV subsidies were reduced significantly. Nevertheless, our order backlog growth has accelerated since September and this strength in order flow continued in the fourth quarter. The growth has been underpinned by three key factors: strong competitiveness of our ES6, in its quality, performance and pricing; strong support from our user community; and our sales network expansion through the efficient NIO Spaces. I will discuss these three factors separately next. In August, NIO ranked the highest in new vehicle quality among all brands in JD Power’s 2019 New Energy Vehicle Experience Index Study. In December, our ES6 was selected by the most respected industry experts in the Chinese automotive industry to receive the Xuanyuan Award as Car of the Year for its achievements in innovation, mobility and industry contribution, which demonstrates the strong recognition of our brand, quality and performance by users and industry. We would not have achieved our strong sales results without the support from our passionate user community. Our vision has always been to shape a joyful lifestyle by offering premium smart electric vehicles with the best user experience. Since inception, we have been working diligently to build a vibrant user enterprise. NIO’s user community is thriving and growing. We now have users in 296 cities across China and 45% of new orders in 2019 were referred by existing users. It has become one – more than just a part of our unique brand identification, but is emerging as an instrumental part of NIO’s development. Actually, the vibrancy and support of our user enterprise has been remarkable and reaches far beyond word-of-mouth referrals. As an example, in the recent months, acting on their own accord, our users have launched promotional campaigns around China in support of NIO. In 2019, more than 1,300 user volunteers have dedicated their time voluntarily in NIO House, NIO Space, auto show and event, to sharing their firsthand experience to make more people understand NIO. In terms of sales network expansion, by the end of this year, we will open 48 NIO Spaces and 22 NIO Houses in 52 cities. Through NIO Spaces, we are able to cost-effectively and meaningfully increase the number of sales point in the market, which in turn helps drive new orders. This important initiative allows more potential users to see, touch, and feel our vehicles, and truly enjoy the superior driving experience our ES8 and ES6 offer. Most importantly, potential users can compare firsthand the performance and smart features of our vehicles with those of NIO’s competitive models. The favorable comparison result often leads to a NIO purchase, and this has been a contributing force to the sales gains in recent months. We will continue strengthening our sales network through adding more NIO Spaces to expand our coverage and improving the efficiency of NIO Spaces with more data and experience gained through our operations. On December 28, we held the third NIO Day under the theme Believe in Better in Shenzhen. Over 7,300 NIO users and guests attended. Also, tens of millions of people participated through 55 parallel sessions or online broadcast. NIO users were deeply involved in the planning, directing and execution of NIO Day 2019, showing passion and rally power that echoed with NIO’s vision to be a user enterprise. During the NIO Day, we also announced 100 kilowatt hour battery pack and 20 kilowatt DC Power Home. All NIO models can upgrade to 100 kilowatt hour battery pack, which will significantly increase the range performance of our product line. Since the launch of the 70 kilowatt hour battery pack in 2018 of the same size, our battery capacity has increased by 40%. NIO makes continuous investment on power swap technology and owns more than 1,200 patents on the vehicle, battery pack, power swap and cloud. The power swap technology enables users to continuously upgrade the battery and empowers NIO to truly offer Battery as a Service. As the time goes on, more and more people will recognize the advantages of NIO’s unique and competitive power swap system. Additionally, we unveiled NIO’s third production model, the EC6, a smart premium electric coupe SUV, which has a very sporty look and feel for young and trendy SUV fans. It goes from 0 to 100 kilometers per hour in just 4.7 seconds and enjoys an NEDC range of up to 615 kilometers. We have also launched the all-new ES8. It boasts up to 188 improvements, 4.9 seconds 0 to 100 kilometer per hour acceleration, and significantly improved the NEDC range to up to 580 kilometers. We believe the all-new ES8 will have much stronger competitiveness in the market. NIO Pilot, NIO’s advanced driver-assistance system becomes full-fledged. More than 20 features are now available on NIO Pilot, including traffic jam pilot and highway pilot. It offers a more relaxing and safer driving experience. To date, about half of our users have activated NIO Pilot. On November 4, we announced our strategic cooperation with Mobileye to develop level 4 autonomous driving vehicles. Teams from both sides have already started working together to explore the best pathways to leverage our respective strengths to develop the future products together. I would like to now give you an update on our cost control measures. During the third quarter, we continued to implement comprehensive cost control measures across the organization to improve operational efficiency. At the end of December, our global headcount will be less than 7,500. As a result of our cost reduction measures, our third quarter SG&A decreased 18.1% compared with the second quarter, even as our sales team is now driving and realizing higher levels of sales. Additionally, our R&D expenses decreased 21.3%. Lean operations will continue to be our focus. Finally, I’d like to warmly welcome Mr. Steven Feng as our new Chief Financial Officer, effective November 18, 2019. We look forward to working with Steven and anticipate that his strong financial and operational experience, impressive track record in equity research and rich automotive background will create greater value for the company and our shareholders. With that, I will now turn the call over to Steven to provide the financial details for the quarter. Steven, please go ahead.
Steven Feng: Thank you, William. I will now go over some of our financial results for Q3 2019. To be mindful of the length of this call, I will address financial highlights here and encourage listeners to refer to our earnings press release, which is posted online for additional details. Our total revenues in Q3 2019 were RMB1.8 billion, representing an increase of 21.8% from Q2 2019. Our total revenues are made of two parts; vehicle sales and other sales. Vehicle sales in this quarter were RMB1.7 billion, representing an increase of 22.5% from Q2 2019. The increase in vehicle sales over last quarter was mainly due to the increase in ES6 sales volume, resulting from the expansion of our sales network, as we continued adding NIO Spaces and the increased referral rate by our existing users. Other sales in this quarter were RMB103.4 million, representing an increase of 9.9% from last quarter. The increase in other sales was mainly attributed to the sales increase in charging piles, which was in line with improvement of vehicle sales. Cost of sales in this quarter was RMB2.1 billion, representing an increase of 2.3% from last quarter. The increase in cost of sales was mainly due to the increase of sales and offset by the inclusion in Q2 accrued recall costs in relation to the company’s voluntary recall of 4,803 new vehicles announced on June 27, 2019. Gross margin in this quarter was negative 12.1%, compared with negative 33.4% in last quarter. More specifically, vehicle margin in this quarter was negative 6.8%, compared with negative 24.1% in last quarter. The improved vehicle margin was mainly due to the recall costs in last quarter as mentioned. R&D expenses in this quarter were RMB1.0 billion, representing a decrease of 21.3% from last quarter and relatively unchanged compared with Q3 2018. Excluding non-GAAP share-based compensation expenses, R&D expenses were RMB1.0 billion, representing a decrease of 21.7% from Q2 2019 and an increase of 5.9% from Q3 2018. The decrease in R&D expenses over last quarter was primarily attributed to less testing expenses incurred in the third quarter after ES6’s initial launch in June. SG&A expenses in this quarter were RMB1.2 billion, representing a decrease of 18.1% from Q2 2019 and a decrease of 30.3% from Q3 2018. Excluding non-GAAP share-based compensation expenses, SG&A expenses were RMB1.1 billion, representing a decrease of 17.4% from Q2 2019 and a decrease of 15.6% from Q3 2018. The decrease in SG&A expenses over last quarter was primarily driven by the company’s overall cost-saving measures in marketing and other supporting functions. Loss from operations in this quarter was RMB2.4 billion, representing a decrease of 25.3% from Q2 2019 and a decrease of 14.3% from Q3 2018. Excluding share-based compensation expenses, non-GAAP adjusted loss from operations was RMB2.3 billion, representing a decrease of 25.4% from Q2 2019 and a decrease of 1.6% from Q3 2018. Share-based compensation expenses in this quarter were RMB70.4 million, representing a decrease of 23.6% from Q2 2019 and a decrease of 83.7% from Q3 2018. The decrease in share-based compensation expenses over last quarter was primarily due to the part of the share-based compensation expenses that are recognized using the accelerated method. Our net loss was RMB2.5 billion in Q3 2019, representing a decrease of 23.3% from Q2 2019 and a decrease of 10.3% from Q3 2018. Excluding share-based compensation expenses, adjusted non-GAAP net loss was RMB2.5 billion in Q3 2019, representing a decrease of 23.2% from Q2 2019 and an increase of 3.1% from Q3 2018. Net loss attributable to NIO’s ordinary shareholders in Q3 2019 was RMB2.6 billion, representing a decrease of 22.9% from Q2 2019 and a decrease of 73.8% from Q3 2018. Excluding share-based compensation expenses and accretion on redeemable non-controlling interests to redemption value, adjusted net loss attributable to NIO’s ordinary shareholders on a non-GAAP basis was RMB2.5 billion. Basic and diluted net loss per ADS in Q3 2019 were both RMB2.48, or $0.35. Excluding share-based compensation expenses and accretion on redeemable non-controlling interests to redemption value, non-GAAP adjusted basic and diluted net loss per ADS were both RMB2.38, or $0.33. Our balance of cash and cash equivalents, restricted cash and short-term investment was RMB2.0 billion as of September 30, 2019. And now for our business outlook. As William mentioned, for the fourth quarter of 2019, the company expects deliveries to be over 8,000 vehicles, representing an increase of approximately 67% from Q3 2019. The company also expects fourth quarter total revenues to be approximately RMB2.80 billion. This would represent an increase of approximately 53% from Q3 2019. Before we start the Q&A session, we would like to give you an update of our financing projects. We have made significant positive progress in these financing projects. However, the projects are still ongoing and we are not at liberty to disclose any confidential information at this point. Therefore, during today’s call, please understand that we will not be able to disclose any specific information or answer any questions regarding the financing projects. We will disclose further information when the projects reach a stage that would subject us to a disclosure obligation. I will now turn the call over to the operator to facilitate our Q&A session.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. For the benefit of all participants on today’s call, please limit yourself to two questions, and if you have additional questions, please reenter the queue. Your first question is from Bin Wang from Credit Suisse. Please go ahead.
Bin Wang: [Foreign Language] The first question is about CB issuing? What’s the progress about CB? And do net many go through the number three quarter results, or it’s not? Just go to the number four quarter if it has been completely finished? [Foreign Language] My second question is about sustainability, about SG&A and R&D cost going forward?
Steven Feng: Okay, thank you. First, I will start with the CB question. As everyone knows, Tencent and William has signed contract with NIO to – for US$200 million on CB. In third quarter, Tencent’s CB has already been closed, so the US100 million from Tencent is already in our Q3 report. And also US$90.5 million were received from William, the rest, US$90.5 million are being processed and the transactions will close soon. Perhaps, as a reminder, the key CB terms, investor could find them with an announcement on September 5th. Let me move on to the second question of Wang Bin’s about the sustainability and our cost controlling efforts. Yes, you are right. We have done a lot of efforts to – for cost savings. We are in the process of analyzing our 2020 budget. We expect the R&D efficiency to significantly improve, and the R&D expenses to be further reduced in 2020. We will share more information in our Q4 earnings call.
William Li: [Foreign Language]
Bin Wang: [Foreign Language]
William Li: [Foreign Language] [Interpreted] So in terms of the headcount, starting from this year, we have already initiated many operation measures to make sure we can improve the efficiency. We did some layoffs and restructuring of our organization. At the beginning of this year, we had around 9,900 people. But by the end of this year, we believe we can control the headcount within 7,500. Some of them are now in the legal process. But we believe that by the end of this year, this number should be lower than the 7,500. We think that this is going to be very beneficial for our P&L for the next year. And at the beginning, I have mentioned the lean operation is our focus and this will continue to build a focus in the future. I think it’s not just about the headcount control, it should be more about how we can optimize and improve the overall cost and expenses efficiency. So this can help us to improve the overall organization efficiency. Thank you, Wang Bin.
Operator: Your next question is from Tim Hsiao from Morgan Stanley. Please go ahead.
Tim Hsiao: Hi. Thanks for taking time to host a call. Just a quick question from my side. The first question is about the sales for next year? I know the third quarter is out, but now we are at the end of 2019. So I just want to get your thoughts about the volumes use for next, because our ES6 just registered solid sales since early this year because of the competitive spec and successful China strategy. But for next year, what will drive the freedom of other upside, because I think the competition in the market was getting more intensive. And in the meantime, I think we’re going to launch EC9 – EC6. I think the model electric coupe, in general, will be smaller than that of four-door SUV, and our ES8, despite the recent upgrade, I think the market is relatively niche. My second question is about the channel strategy, because you just shared our evolving target for NIO Store and NIO Space by end of this year. So if there is any target for our channels, the expansion for 2020? And what would be more reasonable headcount to support a kind of a sales network? [Foreign Language]
William Li: [Foreign Language] [Interpreted] I would like to take your questions. Starting from September, although the market is still quite challenging and soft, but our order backlog for the ES8 and ES6 has been ramping up. In the past two months, the production orders every day can reach over 100, and this trend has been increasing. If you read the news, you can see that we have already sold all the show cars. So we believe this momentum is going to continue in the future. Overall speaking, we believe our product positioning is quite right, although the market is quite dynamic. In the past quarter, we have seen some competitive models, for example, Audi E-tron, Mercedes EQC. They have released their price and they started to sell cars in the China markets. But after the users compare our products together with their products, normally, they will buy our products because our product is more competitive compared with those models. Especially in our specific market segment, that is around RMB300,000 to RMB400,000, that is the segment for the ES6 and ES8. We believe in this midsized premium SUV market, we are quite competitive, because we are ranking at the top 10. This is including the ICE and EV. And we believe in the future, the users will think our ES6 and ES8 are the right choices, if they want to buy a car pricing around RMB300,000 to RMB400,000 range. With our power swap technologies and our superior services, and we can win the word-of-mouth in the market, and the order situation is actually much better than our expectations. We think that these great sales result is because of our product competitiveness and our great service. This can help us to win the reputation in the market. For the next year or so, we are quite confident about ES6. For example, in Beijing and Shanghai, if you want to buy a car that is midsized SUV around RMB300,000 to RMB400,000 range, our ES6 is already ranked at the top five. So that is why we are quite confident that this sales momentum is going to continue for the ES6. For the ES8, that is the all-new ES8, we will start the delivery around April next year. But all-new ES8 has significantly improved the range and we have already boosted up to 188 improvement on the all-new ES8. So the users’ expectation for the all-new ES8 is actually quite high. That is why we believe the new ES8 will also achieve a very good sales performance. Right now, our current ES8 is also doing very good in the market. I think you know that we have already sold all the current ES8 and we have no inventory left. We believe that starting from next year, the sales of the ES8 will also be very good. If you look at the specific market segments, for example, Q5 and the GLE, Model X, our performance, intelligence and the smart features, as well as our services are more competitive compared with those brands. Right now, we have released our EC6, that is the new smart coupe SUV. The feedback is very good from the markets. And right now, I cannot share with you about the specific orders we have received. But the overall situation is actually quite good. We will start the delivery of EC6 in September next year. So the sales of EC6 is not going to significantly impact the overall sales number for the next year. Overall speaking, we are quite confident about the ES6, the ES8, and the EC6 in the specific market segment, respectively. In terms of the sales strategy, we focus on three aspects. The first one is to continue to improve our product and services. The second one is, we would like to make sure our users can be offered brand ambassador and we can improve the sales number with the user referrals and the word-of-mouth. The third one is to continuously expand our sales network. In terms of the sales network, the NIO Space will significantly help with our sales numbers for the future. Right now, we have been working with our NIO Space partners to set out the NIO Spaces and improve the coverage of our sales point. The model of the NIO Space is quite efficient. We believe by the end of next year, we should be able to have around 200 NIO Houses and the NIO Spaces altogether. Because at the end of this year, we have already got over 70 NIO Houses and the NIO Spaces combined. With the increased amount of the NIO Spaces, we can cover the Tier 2 and Tier 3 cities and other remote places. We have already accumulated many experiences in terms of the NIO Space operations. So we think that this is not going to significantly affect our headcount, because we will heavily rely on the partners to work together with us, although we will have our own people on-site to support our partners in the NIO Spaces. Right now, we have users in 296 cities. With the channel expansions, we believe our sales for the next year is going to be very solid. Thank you.
Operator: Your next question is from Lei Wang from CICC. Please go ahead.
Lei Wang: Evening, Steven, William and Jade. This is Lei speaking from CICC. Congratulations on Steven’s new role, it’s a really nice move. And the vehicle deliveries in the third quarter, that’s really new record high. William and Steven have actually answered part of my questions and I have two follow-ups. The first one would be that Steven just gave the guidance of 2,000 unit deliveries in the fourth quarter, another high quarter-over-quarter increase. And what’s the exact factors that are viewed that drive the sales up, and are the factors sustainable from the point of view? And would that be possible that you can release backlog order right now? And the second question will be about the per store deliveries, because William just mentioned we have now around 70 NIO Spaces, right? And that will be leaning about 40 vehicles will be sold per store per month in the first quarter. Is this consistent? Does that mean that for 200 NIO Spaces next year, they’ll be able to deliver 8,000 vehicles per month? Thank you. I will translate my question. [Foreign Language]
William Li: [Foreign Language] [Interpreted] Thanks for your question. At the beginning, I have already mentioned the – starting from the September, the order and the delivery have been witnessing very strong momentum. This is mainly due to three factors. The first one is the competitiveness of our products and the service. The second one is the word-of-mouth under the user referral. The third one is the sales network expansion. Among all these three factors, the product competitiveness is one of the most important factors. As you can see, NIO has already established the premium brands successfully in the mainstream premium market, that is around RMB300,000 to RMB500,000 price range. And you can see that the premium market players have already launched some products. For example, last year, Jaguar launched their I-PACE. And this year, EQC, E-tron. But after they released their product, we can see the price is around the RMB600,000 to RMB700,000. After comparing their products together with our products, normally, the users will think our product is more competitive. That’s why they choose NIO products. I think that there is a very important trend we should pay attention to. Starting from the second quarter of this year, the EV sales has declined because of the subsidy reduction. This happens to those commercial vehicles and the lower-end EVs. But for the Tesla and NIO and other brands focusing on the consumer market, our sales momentum is actually quite good. We believe that the users are quite educated about EVs and ICEs. And for those users, they prefer EVs, that is fine. With it we should have a reasonable share for the mid and large-sized SUV segment, that is around RMB300,000 to RMB400,000 market segments. That segment should have around 1 million unit volumes in terms of the sales. And in the last months, I understand that there are many concerns about the NIO’s operation. But you can see, NIO is developing in a very healthy way. And this is mainly because of our product competitiveness and the word-of-mouth from our users and the strong execution from our teams. That is why we are quite confident about our future sales, and we believe we can keep and even increase this momentum in the future. Next year, in terms of the competition landscape, I don’t actually see any – very competitive products from BMW, Audi, Mercedes and Tesla. Right now, people are now getting familiar with the Tesla Model 3 made in China. And if you compare the Model 3 with our products, we believe our product is still very competitive, and we don’t actually belong to the same segment with the Tesla Model 3. Just now, you mentioned about the sales per store or the sales for the NIO Space and NIO Houses. We think we cannot simply evaluate the effect of the NIO Spaces and NIO Houses by saying how many sales we can achieve in one store, because I have mentioned that 45% of the NIO orders are actually coming from our existing users. The NIO spaces should be quite good for our results improvement, especially for those places without NIO houses. But we cannot simply evaluate the number of the sales in those NIO spaces by doing this kind of calculation, because for most of the NIO Spaces that we opened in the fourth quarter. So it means that we need to accumulate more data to understand the effectiveness of the NIO Spaces. In terms of the China market, actually, it is quite big. So for a lot of users, they may have never seen NIO products or EVs in the past. So that is why we think NIO Spaces should be quite good for us to promote our products in those places and people can actually touch and feel our products. But after we accumulate more data and experience in terms of the NIO Space operation, we can share more information with you. Thank you.
William Li: Thank you.
Operator: Your next question is from Fei Fang from Goldman Sachs. Your line is open.
Fei Fang: Hi, William, thanks for the opportunity. Your 8,000 volume guidance, how many ES8 do we have for December? And also moving into 2020, how do we think about the normalized run rate for ES8? Second question is on battery price and what’s the outlook? And thirdly, if you can comment on the cash outflow. I’d say, is there a quarterly outflow target that the CEO and the CFO is trying to manage the business towards the RMB2 billion outflow per quarter of RMB3 billion beyond which you will think harder about cutting more costs? Thank you.
William Li: [Foreign Language] [Interpreted] In the Q4, the sales of the ES8 is estimated to be around 1,300, and for ES6, it should be over 6,700. For the ES8, compared with the third quarter, the sales in the fourth quarter has been picking up, and we are very happy to see that ES8 is retaining momentum in the market. Starting from April next year, we are going to deliver the all-new ES8. And we believe ES8 is going to be well-positioned in the market to win over users.
Steven Feng: Okay. So thank you for your question. Yes, I think a lot of investors have a very close look at our cash flow. First, of course, we need to take every effort to – for cost savings that our base comp work. But if we move on, I would say, for any automaker, the best way to have a good cash flow is to sell more cars. So although the cash is tight, but thanks to our strong order and delivery momentum. The cash flow from sales is actually very healthy and this is very fundamental for our business. And, of course, if we look at our balance sheet, we will need additional capital until it reaches positive cash flow. We were at the market, as I just said, when we close the financial projects. In the end, I would say, with the coming support from these ongoing financing projects, product sales trend and cost measures, we believe the company will have sustainable development and operations. So in short, first, savings; second, financing; third, very strong sales.
A –Steven Feng: Thank you.
Fei Fang: That’s great. Thank you.
Operator: We have our next question from Paul Gong from UBS. Please go ahead.
Paul Gong: Yes. Hi. Thanks for taking my question. I have two questions. The first one is, based on the current price environment, what quarterly delivery level do we expect to have positive gross margin on vehicle sales? And my second question is just to double-check, does the balance sheet by end of September already reflected Tencent US$200 million CB in it? Because I compared the balance sheet of Q2 and Q3. I didn’t see really an increase – significant increase of non-current liabilities or long-term borrowings, but the cash level still declines. I just want to double-check at the end of September balance sheet already reflected the issuance of the $200 million CB? [Foreign Language]
William Li: Thanks for your question. In terms of the gross margin, this has always been our important task for 2020. We need to consider this from three aspects. The first one is, sales and pricing; the second one is about the BOM cost reduction, especially the battery cost; and the next one is about our product portfolio. By focusing on those three aspects, we can take some measures to improve the gross margin. We think for the next year, we should be able to achieve positive gross margin for the whole year. But if you ask about a specific quarter or the specific amount, so we’re not really sure at this moment, because we need to consider this comprehensively regarding the sales and the battery cost reduction, the BOM cost reduction and the efficiency improvement.
William Li: [Foreign Language]
Steven Feng: Okay. And Paul, to answer your question, in terms of the US$100 million CB from Tencent. If you review our announcement on September 5, actually, it has two tranches. First, US$100 million for 360 days. So it’s a short-term borrowing. So we booked US$50 million in our short-term borrowings. And also, the other US$50 million is a three-year CB. So we booked that US$50 million in our long-term borrowings.
William Li: Yes. Thanks, Paul.
Paul Gong: Thanks.
Unidentified Company Representative: Thank you.
Operator: We don’t have any other questions as of the moment. Presenters, please continue.
Jade Wei: Okay. So thank you, everyone, for attending our conference call this quarter, and we look forward to seeing you and hearing from you next quarter. And Happy New Year.
William Li: Happy New Year…
Steven Feng: Happy New Year.
William Li: …to everyone. [Foreign Language]
Operator: Ladies and gentlemen, that does conclude our call for today. Thank you for participating. You may all disconnect.